Operator: Good morning. My name is David and I will be your conference operator today. At this time, I’d like to welcome everyone to the Manitowoc Company First Quarter 2023 Earnings Call. Today’s conference is being recorded. [Operator Instructions] Thank you. Ion Warner, you may begin your conference.
Ion Warner: Good morning, everyone and welcome to the Manitowoc conference call to review the company’s first quarter 2023 financial performance and business update as outlined in last evening’s press release. Today, I am joined by Aaron Ravenscroft, President and Chief Executive Officer and Brian Regan, Executive Vice President and Chief Financial Officer. Our call includes a slide presentation, which can be found in the Investor Relations section of our website under Events and Presentations. We will reserve time for questions and answers after our prepared remarks. I would like to ask that you limit your questions to one and a follow-up and return to the queue to ensure everyone has an opportunity to ask their questions. Please move to Slide 2. Please note our Safe Harbor statement in the material provided for this call. During today’s call, forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 are made based on the company’s current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied or actual projections due to one or more of the factors, among others, described in the company’s latest SEC filings. The Manitowoc Company does not undertake any obligation to update or revise any forward-looking statements, whether as a result of new information, future events or other circumstances. And with that, I will now turn the call over to Aaron.
Aaron Ravenscroft: Thank you, Ion and good morning everyone. Please turn to Slide 3. Manitowoc ended 2022 on a strong note and this momentum carried into the first quarter of 2023. For the quarter, we generated sales of $508 million and adjusted EBITDA of $45 million. Adjusted EBITDA margin was 8.9%, a 210 basis point improvement year-over-year. I would like to recognize our team’s Herculean efforts to expedite parts, complete cranes and get them all shipped, all in the face of continuing supply chain, labor and logistics challenges. Thank you to everyone in the Manitowoc organization for delivering this strong performance. In addition, non-new machine sales for the quarter increased 17% year-over-year. I am pleased how our team is embracing the Cranes+50 strategy and achieving organic growth both in our traditional aftermarket business as well as in the acquired businesses. With these efforts, we continue to build momentum to grow our higher margin, less cyclical revenue streams. Please turn to Slide 4. The mission of Manitowoc is to build the physical communities of tomorrow. We often talk about this mission in the context of famous construction sites, new cranes, lean activities and our sustainability efforts. Today, I would like to highlight Manitowoc’s relationship with Brooke's House, a partnership that is strengthening our role in the communities of Central Pennsylvania and Maryland. Founded in 2019, Brooke's House provides a community-based safe, stable and emotionally supportive living environment for adult women in the early stages of substance abuse recovery. The center was founded by Kevin Simmers, shortly after his daughter, Brook, sadly succumbed to drug addiction. Manitowoc’s relationship with Brooke's House started with simple monetary donations. But as time progressed, Kevin and Dave Hall, our General Manager of North America realized that Manitowoc could have an even greater impact. Their idea was for Manitowoc to provide job training and employment opportunities to women who have graduated from the in-treatment portion of Brooke’s House program. Today, 9 of these graduates are employed in our welding and assembly operations at our Shady Grove facility. Next month, we will host 15 additional participants in the program with aspirations to have them join the team. I urge you to check out the video link in our presentation as words cannot do the program justice. I cannot tell you how proud I am of Dave Hall and his team at Shady Grove for their efforts to partner with Brooke's House. I’d like to give a shout-out to our new team members from the Brooke's House, keep up the good work, and a big thank you to Kevin for his incredible dedication and commitment to a noble cause. Please turn to Slide 5. Before moving on from the topic of Shady Grove, I’d like to recognize our crawler team. Manitowoc has been making lattice-boom section since 1925. Even so, the team continues to improve how we make these parts. When I recently toured the facilities, they were in the process of reconfiguring how we weld the boom buts and tops. This is the large part of the lattice that physically attaches to the main structure of the crane. We have been welding these parts the same way for over 10 years, but the team is taking a new approach to improve safety, quality and productivity by moving certain elements off-line and treating the process almost like a subassembly. This process involves some of the most complicated weldings that I have seen in my career and the skill of our welders is second to none. I’d like to thank Ron Wolford and his team for their dedication to continuous improvement using the Manitowoc Way. Please move to Slide 6. Turning our attention to the crane market, our orders for the first quarter totaled $525 million, leaving our backlog still well above $1 billion. Although order intake was better than expected for the first quarter, market dynamics vary widely around the globe and current signals from the markets are mixed. Geographically, our backlog is skewed toward the Americas reflecting this dichotomy. Starting with the U.S., we heard a spectrum of feedback from customers at CONEXPO in March. Although we haven’t seen significant money allocated to the infrastructure and semiconductor programs yet, there is still plenty of crane work around the U.S. With that said, the chickens are coming home to roost with respect to financing. Higher interest rates are weighing heavily on the minds of our customers and the recent banking crisis certainly caught the attention of our market. Order intake remains good, but our internal sentiment is cautious. While we still have a good backlog, the crane market can change overnight and the U.S. Presidential election cycle typically seems to slow customer demand. As a final comment, dealer inventory levels are okay to low depending on the product category, but when this is combined with the orders that we have on hand, we can foresee a potential buildup of inventory coming if retail activity shows any signs of a slowdown. Turning to Europe. The environment remains very challenging as interest rates continue to rise in the Ukraine crisis drags on. As we previously indicated, the tower crane business is slowing down across Europe. This slowdown was definitely reflected in the first quarter machine orders, which were down approximately 20% versus the same period 1 year ago. I expect the overall tower crane business in Europe to be very challenging for the remainder of the year. The mobile business is more of a paradox. Cranes are busy and rental rates have inched up, but customers have entered a wait-and-see mode. Keep in mind that our build schedule for these products is relatively sold out for 2023 and we are mostly quoting units for 2024. Considering the current geopolitical and banking dynamics in Europe, I believe the purchasing behaviors are not surprising for long lead time items. Generally, I feel more positive on the European mobile crane business versus the tower crane business due to the recent new product launches or significant improvement in our quality over the last couple of years and our Cranes+50 strategy, which is driving us to be closer to our customers. Moving to the Middle East, Saudi Vision 2030 continues to drive the entire region, and I remain very optimistic about the long-term potential. At the moment, these projects are primarily involved in earthmoving activities and road building projects as they continue to evaluate the best engineering solutions for vertical construction. With respect to Neome, our local dealer partner has recently won their first project using Photon tower cranes for the construction of the Island Resort, Sindalah. I will be in Saudi Arabia in July to get a better feeling for how we can expect this booming construction to materialize. Outside of Saudi, we have also seen a significant spike in tower crane activity in Turkey as the country rebuilds from the terrible earthquake that hit in February. Although the Middle East is one of our smaller regions, our orders for the quarter were up 40% versus the prior year. And last but not least, I would say it’s more of the same in Asia-Pacific. China still hasn’t rebounded, although key markets such as South Korea, Hong Kong and Australia have been strong. Although we have had some meaningful tower crane orders for Singapore, Southeast Asia is still very quiet. With that, I will pass it over to Brian for a financial update.
Brian Regan: Thanks, Aaron and good morning, everyone. Please move to Slide 7. Beginning with orders, we exceeded our expectations during the quarter with orders of $525 million, an increase of 9% from a year ago. The year-over-year increase was primarily driven by higher orders in our Americas segment. Orders in our ERF segment were lower as a result of the near-term uncertainty mentioned by Aaron. Foreign currency unfavorably impacted orders by $9 million. Our March 31 backlog was relatively flat sequentially at $1.076 billion and increased 4% year-over-year. The majority of our backlog is in the Americas region and in Europe, backlog has been declining. Foreign currency favorably impacted backlog by $4 million from the prior quarter and unfavorably $8 million year-over-year. Net sales in the first quarter were $508 million and increased 11% from a year ago. The year-over-year increase was driven by pricing and higher volume due to the stronger shippable backlog entering the quarter primarily in the Americas and higher non-new machine sales, which increased 17% to $151 million. Net sales were unfavorably impacted $11 million from changes in foreign currency exchange rates. SG&A expenses were $9 million higher year-over-year at $75 million. In the prior year, SG&A expenses included a nonrecurring $5 million benefit associated with the partial recovery of a note receivable balance in China. Adjusting for this benefit, SG&A expenses were slightly higher year-over-year due to inflation. SG&A expenses as a percentage of sales were 15%, a decrease of 70 basis points on an adjusted basis year-over-year. Our adjusted EBITDA for the quarter was $45 million, an increase of $14 million or 45% year-over-year. Adjusted EBITDA margin was 8.9%, an increase of 210 basis points over the prior year. Flow-through on the year-over-year incremental sales was 28%, slightly higher than our normalized flow-through of 20% to 25%, impacted by better-than-expected price realization and mix. First quarter depreciation and amortization of $15 million decreased $2 million compared to the prior year. Our provision for income taxes in the quarter was $4 million or 20% of our pretax income. As a reminder, we have tax valuation allowances established for certain countries, and therefore, losses in those countries are not available to offset income tax expense in profitable jurisdictions. Our adjusted diluted net income per share in the quarter was $0.46, an increase of $0.43 from the prior year. Our net operating working capital increased year-over-year $33 million or $43 million on a currency-neutral basis. This increase is primarily in inventory and driven by inflation, supply chain and logistics constraints and stronger demand in the Americas. As a percentage of trailing 12-month sales, net operating capital was 30%, an improvement of 250 basis points year-over-year. On a sequential basis, net operating working capital as a percentage of trailing 12-month sales was flat. Sequentially, foreign currency unfavorably impacted net operating working capital by $3 million. Moving to cash flows. We generated $15 million of cash from operating activities in the quarter. Capital expenditures were $10 million, of which $3 million was for the rental fleet. As a result, our free cash flows in the quarter were $5 million. We ended the quarter with a cash balance of $56 million, which was a decrease of $8 million sequentially. Total outstanding borrowings under our ABL decreased $10 million during the quarter, leaving $70 million outstanding. Additionally, during the quarter, we repurchased $4 million of our common stock. Total liquidity remained flat sequentially at $296 million. Due to the strong adjusted EBITDA, our net leverage ratio was 2x at the end of the quarter, well under the targeted 3x. With that, I will now turn the call back to Aaron.
Aaron Ravenscroft: Thank you, Brian. Please turn to Slide 8. To summarize, our team put up a great first quarter, which is a nice start to a long year. We’ve got a solid backlog. And based on our first quarter results, the pricing actions that we took last year are coming through a little faster than anticipated. Even so, we continue to face a number of part shortages, labor constraints and supply chain issues, and we are at the start of a downturn in the European tower crane business. Given these factors, we are maintaining our previously published guidance. At this time, it’s extremely difficult to predict how the next 12 to 24 months will unfold as the global economy normalizes to the recent shock treatment of higher interest rates, geopolitical tensions and of course, the U.S. presidential election, which is beginning to heat up. Nevertheless, the underlying theme in the can industry remains the same. Cranes fleets have unquestionably become aged and continue to grow older and there is plenty of infrastructure spending around the globe to bolster the construction market over the next decade. As we prepare for the eventual crane renaissance, the Manitowoc team remains focused on controlling what we can control. Operationally, The Manitowoc Way is at the core of everything we do. It’s our compass and the fuel that drives continuous improvement in how we run our factories, design new products, service cranes and support our customers. Strategically, we are committed to Cranes+50, and it’s imperative that we continue to find ways to increase our non-new machine sales in order to weather the storms on the crane cycle. This transformation of our business has only just begun. With that, operator, open the line for questions, please.
Operator: Thank you. [Operator Instructions] We will take our first question from Jamie Cook with Credit Suisse. Your line is open.
Aaron Ravenscroft: Good morning, Jamie.
Brian Regan: Hi, Jamie.
Jamie Cook: Good morning, and congrats on a nice quarter. I mean you talked to pricing mix as being favorable in the first quarter. Can you help us understand how much pricing was in the first quarter? And sort of how do we think about the cadence of that as we progress throughout the year? And then the last two quarters in terms of like your EBITDA performance has been fairly impressive in the $45 million to $50 million range. So why shouldn’t we think of that as a good bench for quarterly EBITDA going forward? Or what are the headwinds to EBITDA relative to the past two quarters as we think about the rest of the year? Thank you.
Aaron Ravenscroft: Jamie, so I’ll start with the mix question. So when we look at sort of how the quarter ended and what we’re expecting. I think there is two components of the mix. One was within the mobile business, we had some favorable mix relative to both customers and product and when we look out to the rest of the year and the mix difference, towers is where we’re concerned about. So there is going to be a mix shift away from towers likely in the second half, which is going to impact our margins. So I think we’re very sensitive around that. And some of the pricing benefit we saw in Q1 and we believe we will continue to see in Q2 through Q4, we will be partially offset by the tower crane mix difference.
Brian Regan: Yes. And I’ll take the question around the EBITDA of $45 million. So I think there is a couple of things, Jamie. First, I’d say it’s with all the lean work that we’ve done at [indiscernible], we’re running that factory a little bit differently, have smoothed out to production a lot better than we have in the past, and we saw some good gains there sort of from the fourth quarter to the first it really showed in our revenue. That’s why our revenue was up over $500 million for the first time, I think, at least as long as I’ve been with the company. So I think that’s part of it, right? So we smoothed some out with some of the things we’re doing operationally. And then the big question marks are really around the second half. So we’ve got our normal seasonality in the third quarter. And then just this number, any question of European tower crane business is slowing down, how much will it slow down, will be in a book-and-bill scenario starting in the third quarter and tower cranes is one of our – typically our higher-margin products. So I do worry about that mix as we get into the second half of next year – or second half of this year.
Jamie Cook: Sorry, I don’t think you talked to mix, but you didn’t speak to pricing unless you don’t want to.
Aaron Ravenscroft: No. So when I look at the flow-through for the quarter, it was about 28%. We expect between 20% and 25%. So pricing, I would say, would be that about 3%, but there is also a mixed component in there. So I’d say, look at that between 3% and 5%.
Jamie Cook: Okay. And sorry, one last if I could. The non -machine sales, obviously, that they were up nicely in the quarter and probably contributed to profitability as well. What is your expectation for non-machine sales within your guidance of the $2 billion to $2.1 billion?
Aaron Ravenscroft: I don’t think we’ve shared at that level.
Brian Regan: No, we’ve not.
Aaron Ravenscroft: To tell you that – I mean, we – operationally, we drive the business, we’re trying to grow it sequentially every month, every quarter. That’s not so easy to do. But yes, I think that we’ve had some nice gains recently, not just from the acquisitions, but the growth and the acquisitions since we owned them.
Brian Regan: Yes, we’ve done some good investments in Denver and Missouri to grow organically the acquisitions. So when we look at what the target is for the Cranes+50, by 2026, we’re expecting to be at about 675. So it’s a trend.
Aaron Ravenscroft: I think it will end up being lumpy, too, especially because we’ve gotten more aggressive on the used side of the house.
Jamie Cook: Alright. I appreciate the color. Thanks. 
Aaron Ravenscroft: Thanks, Jamie.
Operator: And next, we will go to Tami Zakaria with JPMorgan. Your line is open.
Aaron Ravenscroft: Good morning, Tami.
Brian Regan: Hi, Tami.
Tami Zakaria: Hi. Good morning. Great quarter, Congrats. So in terms of – I’m sorry if I missed this, but did you disclose how much is price cost impact in the quarter? And what’s the outlook for the rest of the year?
Brian Regan: So in answering Jamie’s question, I mentioned that of the flow-through, the 28% flow-through, you can model that the price was about 3% to 5% of that.
Tami Zakaria: Got it. Got it. Okay. And you also said there is some mix in there. So mix and prices included was 3% to 5%.
Aaron Ravenscroft: Approximately, I’d say the 3% to 5%. We look at flow-through at around 20% to 25%. We’re at 28%, so between volume mix.
Brian Regan: I think the reality is you can say it’s price, it’s more mix because and it’s cleaning out the backlog, it’s not – it’s a go-forward gain.
Aaron Ravenscroft: Right.
Tami Zakaria: Got it. So taking us back based on the supply chain visibility that you currently have, where do you see your current backlog sort of settling end of this year?
Aaron Ravenscroft: Yes. So I think at this point, it’s difficult to say because it’s going to be highly dependent upon the order rates. So a couple of sort of points here in April, our orders were good. They were close to $200 million. So that’s good news. The other side of this, though, is we have not seen an improvement in shortages. And again, to give you a little color, in Shady Grove, our line item shortages were up to 4,000 at the end of April, and we ended the year around 2,500. So it’s not improving and it will be a big challenge for us for the rest of the year, but those two variables moving in opposite direction is it’s really tough to guess, but the backlog will be.
Tami Zakaria: Got it. That’s fair enough. Thank you.
Operator: And next, we will go to Mig Dobre with Baird. Your line is open.
Aaron Ravenscroft: Good morning, Mig.
Joseph Grabowski: Hey, good morning, guys. It’s actually Joseph Grabowski on for Mig this morning.
Aaron Ravenscroft: Hey, Joe.
Joseph Grabowski: Hey, good morning. I think you just touched upon it, but I was hoping you could maybe give a little more color on the supply chain during the quarter. How much has it improved since the worst levels and maybe any regional differences?
Aaron Ravenscroft: Yes. I mean even in the tower crane business where we have started to slow down, we are still battling lots of part shortages and of course, it continues to get even more difficult as we ramp up on the mobile side. So, I would say it’s more by factory and what the demand of each of those factories is, but it clearly has not improved based on some of the data that we are looking at.
Joseph Grabowski: Okay. It still hasn’t improved. Okay. And then I guess my follow-up question, you mentioned European tower crane machine orders were down 20%. You mentioned that the backlog in Europe is declining. Maybe talk about any levers you could pull there if demand does continue to soften, how you think about production rates and just anything along those lines?
Aaron Ravenscroft: Yes. So, I mean that’s really a balancing act of trying to get a good forecast, it will be in the third quarter and fourth quarter, in terms of production levels. And then, of course in Europe, there is a variety of levers to pull given that we have two major factories in France, we have got to be really strategic how we would manage that. So, there is always the use of short time work and some other things, but we will go up sort of a monthly or quarterly one at a time. I don’t expect any structural changes. I mean the business will bounce back. There is still huge housing shortages in Germany and throughout Europe and that whenever the Ukraine situation starts to subside, I think you will start to see a pickup in the business. So, I don’t see a structural change in the business and plus, of course, we are making machines for our own dealer fleet. So, we want to make sure that we maintain our core competency because anytime you have these big CapEx as we saw in COVID, it’s hard to get back on your feet as things come back.
Joseph Grabowski: Got it. Okay. Thanks for taking my questions.
Aaron Ravenscroft: Thanks Joe.
Operator: Thank you. Next, we will go to Stephen Volkmann with Jefferies. Your line is open.
Aaron Ravenscroft: Good morning Steve.
Brian Regan: Hi Steve.
Stephen Volkmann: Good morning guys. Can I go back to the non-new machine sales? What exactly is driving those higher? Is it the re-rent? Is it more parts? Is it equipment sales? I guess not if it’s not new machine sales. Any way – any more color on what’s driving that higher? And also how does that impact the margin mix?
Aaron Ravenscroft: Yes. So, our margins are always more favorable in the non-new machine segment than it would be on any of the machine segments. And I mean I think when I look at how we grow non-machine sales, what’s most critical is that we continuously grow our field service. And I think at this point, we are looking at over 50 adds for the rest of the year that we are recruiting. That’s sort of the cornerstone of it and making sure we have those folks to support it and then that work obviously will drive service and they will drive parts. Now, the bigger other things that are bigger opportunities to swing the number really set new, so it’s just the math issue because you are selling a full crane, and that’s been pretty decent for us. I think the fact that the market has been tightened, folks who are having a hard time getting machines that’s been pretty successful for us. So, I mean some of it is where we are doing all the work doesn’t always necessarily bring the biggest dollar items like rental, for instance, just due to the nature of the math. I mean rental is never going to be a huge part of the growth, but I think that it layers in the sort of the best profitability when we do it.
Brian Regan: And obviously, that service drives parts.
Aaron Ravenscroft: Yes.
Stephen Volkmann: Understood. And just a follow-up there, I think if my math is right, that business is up something like 20% over the last year. And I think you have given yourself 2.5 years to get the next 20%. Is there a chance that this comes in kind of ahead of that?
Aaron Ravenscroft: I think it just depends on the timing of acquisitions.
Stephen Volkmann: Got it. Thank you.
Aaron Ravenscroft: Thanks Steve.
Brian Regan: Thanks Steve.
Operator: Okay. Next, we will go to Steven Fisher with UBS. Your line is now open.
Steven Fisher: Thanks. Good morning. So, it’s good – it sounded like the orders were better than you expected and it was mostly North America. What part of the end market and product line drove the upside? And how sustainable do you think that is?
Aaron Ravenscroft: Yes. I mean I would say it’s mobile is across the board and of course, the Middle East piece of it. I mean within the United States, it’s really hard to put your finger on what’s driving it or we got a lot of dealers have confidence because their inventories have gone on the low end, and they are trying to make sure that they are on their order board as much as anything to service their customers. So, when I look at end markets, I can’t say at this point that there is anything super specific. Of course, everyone is watching commercial real estate to see where it goes in the next couple of years. But I think it’s more of an issue of making sure that the channel has what it needs to run their businesses as end market demand.
Steven Fisher: Got it. And then I think there was a reference to the utilization. Do you have any sense of what utilization is running at in, say, North America? And then how do you think about existing fleet being utilized as a lot of these infrastructure and bigger programs and mega projects move forward versus in just kind of specking in totally brand new cranes?
Aaron Ravenscroft: I mean I think that’s always the balance. So, we don’t have a number, but everyone I talk to says that they have got – I don’t want to say all-time highs. They are at the highest levels of utilization, they feel really good. But again, in terms of how their cranes get used, it’s – I would say it’s very rare that that’s just driving the orders. I mean a big part of this is how they are managing their fleets, and we know that many of the fleets out there are aged. They are going to have to refresh them. So, this is why I always go back to. They have to have really the confidence in the financing element has become a bigger issue with where interest rates are to really drive the replenishment of their fleets. And of course, it starts with good utilization. It’s not on that – it’s not typical unless there is lots of orders that someone says, “Oh, I got a project for a stadium and I need six cranes.” I mean it may help justify an addition of a crane or two cranes into their fleet, but we are talking about folks who have got fleets of 2,000 cranes, so.
Steven Fisher: And just on that last point, have you had any orders put on hold because of changes in financing and credit conditions in the last month or so?
Aaron Ravenscroft: We had one or two cancellations, but we were able to – yes, turn it around pretty quickly because there is a lot of folks that need cranes too.
Steven Fisher: Great. Thank you very much.
Aaron Ravenscroft: Thanks Steve.
Brian Regan: Thanks Steve.
Operator: Okay. Next, we will go to Seth Weber with Wells Fargo Securities. Your line is open.
Aaron Ravenscroft: Good morning Seth.
Seth Weber: How are you guys? Good morning. I wanted to follow-up on the interest rate discussion and just to make sure I am understanding what you are saying. Are you starting to hear anything from your customers about projects getting canceled or delayed due to interest rates or it’s more just the customer crane financing…?
Aaron Ravenscroft: Yes. I mean in Europe, it’s a project issue. But in the United States, no, it’s just everyone’s super sensitive just as we are to the jump in interest rates. And given the fact that the machines are all multi-million dollar machines, it has a big effect from a dollar standpoint.
Brian Regan: Yes. Especially when you add the inflation and our price increases that we have affected when you add that to the interest, it’s a big number that they have got to absorb.
Seth Weber: Okay. But you are not hearing about North American projects getting canceled or pushed around?
Aaron Ravenscroft: No, I am not heard of any projects in the United States. I mean there is a lot of chatter around where is commercial real estate going to go in the next couple of years. But in terms of big projects in the infrastructure, I think everyone is confident it’s coming.
Seth Weber: Yes. Okay. And then just given your comments about the European tower market, are you rethinking your rental European tower rental business plan and CapEx spending there for this year?
Aaron Ravenscroft: No. So, I mean we have a very small fleet. And in fact, I would say our angle is probably the opposite. I mean that’s why you have a rental fleet so you can build cranes and feature fleet when times are tough to fill your factories. So, we will hold to what we have been doing. And we are looking – my hope is that this creates some buying opportunities on the acquisition side of the business.
Brian Regan: And we talked last year about growing into the UK and that market is pretty good. So, as Aaron said, we are going to continue to move forward on the strategy.
Seth Weber: Okay. If I could squeeze in one last one. Just your expectations for steel prices for the year and how that’s factored into your outlook?
Brian Regan: Yes. So, in the U.S., and I will use that as the example. We definitely – we buy forward. So, we are pretty much comfortable with where we are at relative to steel, even if it moves for the rest of the year. So, we are comfortable that steel is not going to have a big impact for us on the go forward as it looks like it’s likely to increase.
Seth Weber: Okay. Thank you, guys. Appreciate it.
Aaron Ravenscroft: Thanks.
Operator: Thank you. Next, we will go to Jerry Revich with Goldman Sachs. Your line is open.
Aaron Ravenscroft: Good morning Jerry.
Brian Regan: Hi Jerry
Unidentified Analyst: Hey. This is Clay on for Jerry.
Aaron Ravenscroft: Hi Clay.
Unidentified Analyst: Just a quick question here. I see, typically, margins in second quarter, up 200 basis points from 1Q to 2Q sequentially. Anything we need to watch out here moving into the second quarter or…?
Aaron Ravenscroft: No. I mean I don’t think it’s as simple as comparing the history because for sure, the way we ran the AT business, we shipped more ATs in the first week. Normally, what happens historically. Brian, do you want to add more color to that?
Brian Regan: Yes. I think some of the mix that we saw even at the end of the quarter, we definitely had a better mix in Q1 than we would expect in Q2. Yes. So, I would expect margin-wise, Q1 to be a little bit better than Q2 and really driven by that mix.
Unidentified Analyst: Yes. And then I have one follow-up here. On dealer inventories, can you frame how much they have risen since the trough over the last 12 months or so, even a month supply basis, however you prefer to look at? And I imagine there is some variance there by regions.
Aaron Ravenscroft: Yes. So, the dealers, mostly we talk about in the U.S., their inventories, I would say, have not risen just if you look at what our shipping rates have been, I mean they want the cranes. So, my bigger concern on dealer inventory is now where we sit today, it’s where are we six months from now, we can see that our dealers have a lot of orders on hand. So, as we start to ship all of those, and they start to receive them, and they retail them at the same rate. And that’s always what I look for and keeps me nervous and keeps me on my toes relative to the dealer channel.
Unidentified Analyst: Thanks. I will pass it on.
Aaron Ravenscroft: Thanks.
Operator: And I show we have no further questions at this time. And I will now turn the call back over to Ion Warner for any additional or closing remarks.
Ion Warner: Thank you. Before we conclude today’s call, please note that a replay of our first quarter 2023 conference call will be available later this morning by accessing the Investor Relations section or website at www.manitowoc.com. Thank you everyone for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again next quarter.
Operator: This concludes today’s conference call. You may now disconnect.